Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Wheaton Precious Metals year-end 2018 financial results conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will a question-and-answer session. [Operator instructions]. I would like to remind everyone that this conference call is being recorded on Thursday, March 21 at 11:00 AM Eastern Time. I will now turn the conference over to Mr. Patrick Drouin, Senior Vice President of Investor Relations. Please go ahead.
Patrick Drouin: Thank you, operator. Good morning, ladies and gentlemen, and thank you for participating in today's call. I'm joined today by Randy Smallwood, Wheaton Precious Metals President and Chief Executive Officer; Gary Brown, Senior Vice President and Chief Financial Officer; and Haytham Hodaly, Senior Vice President, Corporate Development. I'd like to bring to your attention that some of commentary in today's call may contain forward-looking statements. There can be no assurances that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. In addition to our financial results cautionary note regarding forward-looking statements, please refer to the section entitled Description of the Business Risk Factors in Wheaton's Annual Information Form and the risks identified under risks and uncertainties in Management's Discussion and Analysis, both available on SEDAR and in Wheaton's Form 40-F and Wheaton's Form 6-K, both on file with the US Securities and Exchange Commission. The Annual Information Form, Q4 2018 Management's Discussion and Analysis and the press release from last night set out the material assumptions and risks that could cause actual results to differ, including, among others, fluctuations in the price of commodities, the absence of control over mining operations from which Wheaton purchase its precious metals, risks related to such mining operations and the continued operations of Wheaton's counterparties, risks in estimating cash taxes payable in respect to the 2005 to 2010 taxation years and assessing the impact of the settlement with CRA for years subsequent to 2010. It should be noted that all figures referred to on today's call are in US dollars unless otherwise noted. In addition, reference to Wheaton or Wheaton Precious Metals on this call will include Wheaton Precious Metals Corp. and/or its wholly owned subsidiaries as applicable. Now, I'd like to turn the call over to Randy Smallwood, our President and Chief Executive Officer.
Randy Smallwood: Thank you, Patrick, and good morning, ladies and gentlemen. Thank you for dialing into our conference call to discuss our 2018 fourth quarter and year-end results. I am pleased to report that Wheaton Precious Metals had an incredibly successful year on so many fronts. Our high-quality portfolio of low-cost, long-life assets once again delivered solid production results. During 2018, we produced over 370,000 ounces of gold, 24 million ounces of silver and 14,000 ounces of palladium, all in excess of the company's guidance. Furthermore, annual gold production and sales represented a record. We continued to generate strong operating margins, resulting in sector-leading cash flow of over $475 million in 2018 from revenue of close to $800 million. In addition to our strong production and cash flow, we strengthened our stream on San Dimas, making it more sustainable. We also completed the largest acquisitions of the year in the streaming space by adding two new high-quality streams to our portfolio, Voisey's Bay and the Stillwater mines. And perhaps most notably, we closed the year by reaching a settlement on our longstanding tax dispute with the Canada Revenue Agency. Our foreign income is not taxable in Canada. So from this firm foundation that 2018 has provided, we look forward to a steady and strong organic growth profile in the coming years. Before I get to that, I'd like to turn the call over to Gary Brown, one of our Senior Vice Presidents and our Chief Financial Officer, who will provide more details on our results. Gary?
Gary Brown: Thank you, Randy, and good morning, ladies and gentlemen. The company's precious metal interests produced 107,600 ounces of gold, 5.5 million ounces of silver and 5,900 ounces of palladium in the fourth quarter of 2018. Relative to the fourth quarter of the prior year, this represented an increase of 11% in gold production and a decrease of 23% in silver production, with the decrease in silver production being primarily due to the termination of the San Dimas silver stream effective May 10, 2018, and the expiry of the streams relative to the Lagunas Norte, Veladero and Pierina mines on March 31, 2018. The increase in gold production was due primarily to the new streaming agreements relative to the San Dimas and Stillwater mines, partially offset by lower production at Sudbury and the other gold interests, including Minto, which was placed into care and maintenance in October of 2018. Sales volumes amounted to 102,800 ounces of gold, 4.4 million ounces of silver and 5,000 ounces of palladium in the fourth quarter of 2018, representing an increase of 9% for gold and a decrease of 40% for silver relative to the fourth quarter of 2017. The increase in gold sales volumes was attributable to the increased production, partially offset by relative changes to payable gold produced but not yet delivered to Wheaton. The decrease in silver sales volumes was attributable to the combination of decreased production, coupled with relative changes to payable silver produced but not yet delivered. As at December 31, 2018, approximately 77,500 payable gold ounces, 3.3 million payable silver ounces and 5,300 payable palladium ounces have been produced but not yet delivered to the company. We estimate a normal level for payable ounces produced but not delivered to equate to approximately two to three months for gold, two months for silver and three months for palladium, with the balances at December 31st being consistent with these expectations. Revenue for the fourth quarter of 2018 amounted to $197 million, representing a 19% decrease relative to Q4 2017, primarily due to a 40% decrease in the number of silver ounces sold combined with a 12% decrease in the average realized silver price, partially offset by increased gold and palladium sales. Of this revenue, 65% was attributable to gold sales, 32% was attributable to silver sales and 3% was attributable to palladium sales. Gross margin for the fourth quarter of 2018 decreased 32% to $65 million, with the decrease being primarily driven by the decrease in silver-based revenue. However, it is important to highlight that the cash operating margins continued to be robust at 68% for the quarter, just 3% lower than Q4 2017. By far, the most significant highlight for the fourth quarter of 2018 was the settlement agreement that the company reached with the Canada Revenue Agency, or the CRA, on December 13, 2018. This agreement provides a definitive resolution of Wheaton's tax appeal in connection with the reassessment of the 2005 to 2010 taxation years. As a reminder, under the terms of the settlement, foreign income on earnings generated by Wheaton's wholly-owned foreign subsidiaries will not be subject to tax in Canada. In addition, Wheaton agreed to increase the fees charged by the parent company for the services rendered to its foreign subsidiaries by: First, including the third-party cost incurred by Wheaton directly associated with the raise in capital that was used to fund the investments made by its foreign subsidiaries in precious metal purchase agreements. And secondly, increasing the markup on costs incurred from 20% to 30%. Importantly, subject to there being no material changes in tax or changes in law or jurisprudence, the principles included in this settlement will apply to all taxation years subsequent to 2010, providing clarity on the implications of Canadian taxes to our business model moving forward. As a result of this settlement, we recorded several one-time adjustments in the statement of earnings during the fourth quarter of 2018. Specifically, we have recorded an income tax expense of $20 million, of which $16 million represented a non-cash expense. Additionally, we have reflected interest and penalties totaling $4 million and a one-time success fee relating to legal services rendered in the amount of $5 million. In total, expenses relative to the CRA settlement amounted to $29 million in Q4 2018, with net cash expenses amounting to $13 million, consistent with company guidance. Cash-based G&A expenses amounted to $20 million in the fourth quarter of 2018, representing an increase of $12 million from Q4 2017, with the increase being primarily related to increased accruals relative to the outstanding performance share units, or PSUs, during Q4 2018, coupled with the previously noted one-time success fee of $5 million. Interest costs for the fourth quarter of 2018 amounted to $13 million, resulting in an effective interest rate on outstanding debt of 3.83% as compared to $6 million of interest costs at an effective interest rate of 2.8% incurred in Q4 2017. After reflecting the impact of the CRA settlement, net earnings amounted to $7 million in the fourth quarter of 2018 compared to a net loss of $138 million in Q4 2017, with the prior year loss reflecting a $229 million impairment taken on the Pascua Lama silver stream. After negating the impact of the CRA settlement for Q4 2018, the impairment charge for Q4 2017 and other items that are non-recurring in nature, adjusted net earnings in the fourth quarter of 2018 amounted to $37 million, a decrease of $46 million relative to Q4 2017, with the decrease being primarily due to the lower silver sales volumes and prices combined with increased interest costs and PSU charges. Basic adjusted earnings per share decreased to $0.08 compared to $0.19 in the prior year. Operating cash flow for the fourth quarter of 2018 amounted to $108 million or $0.24 per share compared to $165 million or $0.37 per share in the prior year, representing a 35% decrease on a per share basis. Under the company's dividend policy, the quarterly dividend per common share is targeted to equal approximately 30% of the average cash generated by operating activities over the previous four quarters. To minimize the volatility in quarterly dividend, the company has set a minimum quarterly dividend of $0.09 per common share for the duration of 2019. On this basis, the company's Board has declared a dividend of $0.09 a share payable to shareholders of record on April 5, 2019. Under the dividend reinvestment plan, the Board has elected to offer shareholders the option of having their dividends reinvested in newly issued common shares of the company at a 3% discount to market. For the year ended December 31, 2018, gold, silver and palladium production all exceeded company guidance, with gold production representing a record for the company. As anticipated, silver experienced a 14% decrease relative to 2017, with this decrease being the result of the termination of the San Dimas stream and the cessation of deliveries from Lagunas Norte, Veladero and Pierina. This decrease in silver production was partially offset by the introduction of palladium to the company's product mix and a 5% increase in gold production, with the contribution from the new streaming agreements relative to the San Dimas and Stillwater mines being partially offset by lower production at the Sudbury and the other gold interests. Revenue for 2018 amounted to $794 million, representing a 6% decrease relative to 2017. Of this revenue, 55% was attributable to gold, 44% was attributable to silver and 1% was attributable to palladium, with gold sales volumes of 349,200 ounces representing a record for the company. Gross margin amounted to $296 million, a decrease of 12% relative to 2017, with operating margins decreasing to 37% in 2018 from 40% in 2017 due primarily to lower realized silver prices, partially offset by lower silver depletion rates. Cash-based G&A expenses in 2018 totaled $46 million, representing a $17 million increase relative to 2017, with such increase being primarily related to a $9 million increase in expenses related to PSUs, combined with the $5 million success fee relating to the successful resolution of the company's dispute with the CRA. For 2019, the company estimates that non-stock-based G&A expenses, which excludes expenses relating to the value of stock options and PSUs, will amount to $36 million to $38 million. Interest costs for 2018 amounted to $36 million, an increase of $11 million relative to 2017, resulting in an effective interest rate on outstanding debt of 3.57%. After neutralizing for the effect of the gain on disposal of the San Dimas silver stream, which was reflected in the second quarter of 2018, the impact of the CRA settlement and for other nonrecurring charges, adjusted net earnings for 2018 amounted to $214 million, representing a 23% decrease from adjusted net earnings for 2017 due primarily to the lower silver sales volumes and prices in 2018, combined with the higher G&A and interest costs. Basic adjusted earnings per share amounted to $0.48 in 2018 compared to $0.63 in 2017. Cash flow from operations amounted to $477 million, a decrease of 11% compared to 2017, with the decrease being attributable to the lower earnings. This translated into operating cash flow per share of $1.08 compared to $1.22 in 2017. The operational highlights for the fourth quarter of 2018 included the following: Attributable gold production relative to Salobo in Q4 2018 amounted to 77,000 ounces, while sales amounted to 75,400 ounces, an increase compared to Q4 2017 of 1% and 5%, respectively, with the sales during the quarter benefiting from positive changes in gold ounces produced but not yet delivered to Wheaton. Worthy of note is that Vale's Board of Directors approved the $1.1 billion expansion of the Salobo project in Q4 2018. This project is expected to increase throughput capacity at the mine from 24 million tonnes per year to 36 million tonnes per year, with start-up scheduled for the first half of 2022 and a 15 month ramp-up. On this basis, an expansion payment of approximately $550 million to $650 million would be made by Wheaton once the completion test has been satisfied with respect to such expansion, with Wheaton's attributable gold production from Salobo benefiting significantly from the 50% increase in throughput capacity. Attributable gold production relative to Sudbury in Q4 2018 amounted to 7,100 ounces while sales amounted to 4,900 ounces, a decrease compared to Q4 2017 of 18% and 60%, respectively, with the decrease in sales being attributable to negative changes in gold ounces produced but not yet delivered to Wheaton. Attributable gold production relative to Constancia in Q4 2018 amounted to 4,300 ounces while sales amounted to 3,600 ounces, an increase compared to Q4 2017 of 45% and 86%, respectively, with the increased production being primarily due to the processing of higher-grade material, with the higher production combined with positive changes in gold produced but not delivered explaining the increase in the ounces sold. Attributable gold production relative to the new gold stream at San Dimas amounted to 10,100 ounces while sales amounted to 8,500 ounces, with mill throughput continuing to exceed expectations. Attributable gold production and sales volumes relative to the recently acquired streaming agreement at Stillwater amounted to 3,500 ounces. Attributable palladium production and sales relative to Stillwater amounted to 5,900 ounces and 5,000 ounces, respectively. It is worth noting that for the six month period ending December 31, 2018, attributable gold and palladium production from Stillwater exceeded the company's original guidance by 81% and 41%, respectively, with the significant outperformance being partially attributable to Wheaton being entitled to production relating to periods prior to the effective date of the agreement. Attributable gold production relative to the other gold interests in Q4 2018 amounted to 5,700 ounces while sales amounted to 7,000 ounces, a decrease compared to Q4 2017 of 35% and 18%, respectively, primarily due to the Minto mine being placed into care and maintenance during October of 2018. Attributable silver production relative to Peñasquito in Q4 2018 amounted to 1.5 million ounces, a decrease compared to Q4 2017 of 7% due to the lower throughput, which was negatively affected by ore hardness during the most recent quarter. Sales relative to Peñasquito amounted to 901,000 ounces, a decrease compared to Q4 2017 of 41% due to a combination of lower production and negative changes in silver ounces produced but not yet delivered to Wheaton. Of note, the construction of the Pyrite Leach Project was completed in Q4 2018, with the project achieving commercial production as of December 31. Attributable silver production relative to Antamina in Q4 2018 amounted to 1.2 million ounces while sales amounted to 1.3 million ounces, a decrease compared to Q4 2017 of 15% and 26%, respectively, with the decrease in production being a result of lower silver grades resulting from mine sequencing in the open pit, resulting in more copper zinc ore and less lead-rich ore being mined in the quarter. Attributable silver production relative to the other silver interests in Q4 2018 amounted to 2.1 million ounces, a decrease compared to Q4 2017 of 3%, being primarily due to the expiry of Lagunas Norte, Veladero and Pierina streams at the end of March, partially offset by the restart of deliveries relative to the Aljustrel stream during the second quarter of 2018. Sales from other silver interests decreased 29% to 1.6 million ounces due to the combination of lower production and negative changes in silver produced but not delivered to Wheaton. During the fourth quarter of 2018, the company repaid $117 million on the revolving facility and made dividend payments of $34 million. Overall, net cash increased by $44 million in Q4 2018, resulting in cash and cash equivalents at December 31 to $76 million. This, combined with the $1.3 billion outstanding under the revolving facility, resulted in a net debt position as at December 31 of approximately $1.2 billion. For the entire year, the company repaid $331 million of debt, distributed $133 million of dividend and invested a net amount of $900 million in new precious metal purchase agreements, with these disbursements being funded through a combination of operating cash flow and drawdowns under the revolving facility of $825 million. The company's cash position, strong forecast future operating cash flows, combined with available credit capacity under the revolving facility, positions the company well to satisfy its funding commitments, sustain its dividend policy, while at the same time, providing flexibility to consummate additional and accretive precious metal purchase agreements. That concludes the financial summary. And with that, I turn the call back over to Randy.
Randy Smallwood: Thank you, Gary. Looking forward, we are pleased to reiterate the 2019 and long-term production guidance previously announced in February. For 2019, Wheaton's estimated attributable production is forecast to be approximately 365,000 ounces of gold, 24.5 million ounces of silver and 22,000 ounces of palladium, which amounts to a gold equivalent production of approximately 690,000 ounces. We also anticipate strong organic growth building over the next five years. Wheaton estimates that our annual gold equivalent production will average 750,000 ounces per year over that five-year period. Near term, we expect our production to increase primarily due to continued growth at Peñasquito, Constancia and Stillwater. At Peñasquito, the Pyrite Leach Project, which is expected to significantly increase precious metals recovery, was fully constructed and achieved commercial production during the fourth quarter of 2018. This aligns well with the mine plan as Goldcorp is expected to now move into some of the highest-grade material at Peñasquito and should be processing that material for the next few years. At Constancia, the Pampacancha satellite deposit has significantly higher precious metals grade than what we are current -- than what is currently being mined. We have not included Pampacancha in the 2019 forecast given the lack of a definitive schedule at this time. However, it is included in our five-year production average. And from our most recent acquisition, gold and palladium production at the Stillwater mines will increase in 2019 as the company has its first full year of production. And looking longer term, both gold and palladium production from Stillwater are anticipated to increase with the continued ramp-up of the Blitz expansion project, which is expected to reach full capacity in 2021. In addition, starting on January 1, 2021, Wheaton will be entitled to receive from Vale an amount of cobalt equal to 42.4% of the Voisey's Bay mine cobalt production. I would like to highlight that Wheaton does not include in its five-year forecast any production from Barrick's Pascua Lama project, Vale's Salobo III expansion or Hudbay's Rosemont Project. We do note that the new management team at Barrick seems to be putting a bit more focus on Chile and Pascua Lama. Once it is up and running, it would definitely qualify as a Tier 1 asset. The Salobo III expansion project continues to advance, representing a 50% increase in throughput capacity, and the current schedule would have first gold being delivered to Wheaton in 2022. And at Rosemont, Hudbay recently announced receipt of the approved mine plan of operations from the U.S. Forest Service, which is the final administrative step in this permitting process. After the success of Constancia, we do look forward to working again with the Hudbay team through construction of the Rosemont mine. So we are very excited to see these projects advance and potentially add to Wheaton's future growth profile. I reiterate, none of this is included in our five-year forecast, so the potential for additional organic growth is very real. Our guidance also does not account for future acquisitions. And on the corporate development front, we remain very busy. There are several high-quality accretive opportunities that we are pursuing related to both operating and development assets. And with the strongest free cash flow in the entire streaming space at well over $100 million per quarter, coupled with the available credit under our $2 billion revolving facility, Wheaton still has plenty of capacity for continued investments. As always, we will remain disciplined and focused on acquiring streams that are accretive to our current shareholders and come from high-quality assets, producing in the lowest half of their respective cost curves. We would be thrilled to add to our portfolio. However, if an opportunity does not meet our standard of quality, we are equally happy to use our cash flow to delever the balance sheet in preparation for future larger scale opportunities. Before I finish, I would like to provide an update on our community investment program, in particular our Partner CSR program. At Wheaton, we have long believed in giving back to the communities in which we and our partners operate. Since 2014, we have provided financial support to our Partner CSR projects in the communities near the mines from which we receive our precious metals production. We are proudly the first in the precious metals stream space to initiate such programs, which over the years has now spanned over four countries and six different operating partners. In 2018, we continued support for an educational initiative near the Antamina mine and a sustainability initiative near the Constancia mine. And at Salobo, we continue to work with the Vale Foundation on several programs focused on health, community engagement and small business development. And to date, we have been very pleased with the results of these initiatives. Through the Partner CSR program, we are helping our partners maintain their social license to operate and doing our part to ensure that the mining industry delivers sustainable benefits to our neighbors. It is the right thing to do, and we continue to challenge our peers to follow our lead in making a positive difference as well. So in summary. 2018 has been a very successful year, providing the company with a firm foundation from which we will grow. Our high-quality portfolio of assets exceeded guidance for all precious metals and have record gold production and sales. We optimized our San Dimas stream to be more sustainable in addition to adding two new, low-cost, long-life assets to our portfolio. Lastly, we finished the year by securing a principle settlement of our long-standing tax dispute with the Canada Revenue Agency. This resolution provides us and, more importantly, our shareholders with clarity and confidence in our business model going forward. We look forward to deploying all of our time and resources into managing our portfolio of high-quality assets, remaining active on the corporate development front and ultimately delivering value to our shareholders. So with that, operator, I would like to open up the call for questions.
Operator: Thank you. [Operator instructions] Your first question comes from the line of Brian MacArthur with Raymond James. Please go ahead.
Brian MacArthur: Good morning. I just want to delve into a little bit more of the Salobo III expansion payments, which you guide to $550 million to $650 million. But if I understand this, there's a function for throughput, a function dependent on grade and a function for timing. So I'm just kind of -- and Vale has put up different numbers and there's some challenges in Brazil. I guess, I'm trying to figure out what would happen if this gets delayed a year or something because I also think if you look at the mine plan, the grade starts to come down. So I was wondering if it's possible to get any more color what the biggest factor is that's leading to the delta and what the payment might be.
Randy Smallwood: Sure, Brian. Thanks for the call and thanks for the question. The reason we list off a range of $550 million to $650 million is there's a low-grade option and a high-grade option. And so high-grade option would require Vale to make a commitment with respect to maintaining a minimum grade level for a 10-year period. And if they do that, it would allow us to pay in the 2023 year the extra $100 million. So it would take it from $550 million to $650 million. That's a choice that they haven't made yet and won't likely make until 2021, 2022. It's going to require some scheduling in terms of an extra mobile equipment, if they were going to focus on a higher grade mine plan than what they've got. So we've -- so through this structure of the contract, we've provided an incentive for them to try and focus on higher grades. We think the economics make sense to do that in the first place, but we provided an additional incentive to them to try and get them to focus on higher grades and move more metal production forward. In addition, as you mentioned, if there's a delay to this contract, and again, hats off to the team that -- in terms of how we structured and negotiated this contract. It is -- the amount of this is based on a minimum level of throughput or a set levels of throughput, but it's also based on timing. And so the $550 million to $650 million number that we're giving you assumes that Vale completed at a 50% increase in throughput capacity in the year 2023. If it gets delayed, if it's passed in 2024, 2025, that amount drops. It drops relative to the value of moving this production forward. So we and our shareholders, more importantly, are protected. The cost of any delays -- there is no cost of delays to us because what it means is, ultimately, the expansion doesn't cost us as much. And so it's a very good structure that protects us and in the event that there's delays. It also rewards Vale in the event that they're finished early. If they do actually satisfy the completion test in 2022, the amount paid will go slightly higher. And so it's a perfect sort of win-win situation. If they come out ahead of schedule, then they would actually get rewarded for that on our side. And so it's a good, strong structure that protects us from delays. And we've also got incentives in there to try and get Vale to commit to a more focused, high-grade plan to bring some of that metal production forward for us.
Brian MacArthur: Great. And I guess, if I remembered, too, there's a one-time decision and it's that -- I mean, it's going from 24 to 36. If they get to 36 -- if the completion test based on 36 that triggers the payment, the one-time, so like say they decided in the middle of this because it's delayed, they wanted to go to 42 or something, does that then mean the whole thing becomes technically dependent on getting the 42 before you get the completion test and make the payment?
Randy Smallwood: Well, it's their choice. It's a one-time option for them to collect an expansion payment from us. If partly through this they do decide to further expand, then they have to make the decision as to -- I mean, basically, they make the decision by telling us that they're going to start running the completion test. It's a 90-day completion test, and it's up to them as to when they trigger that, that 90-day period. And then over that period, at the end of that, we would make a payment based on the capacity, the grade, based on a commitment from them to maintain a minimum grade and the timing. And there's three different factors that feed into how much of that payment is made. It is, as you said, a one-time commitment. So if partway through it, they do decide to expand even further, that would be a choice that they'd have to look at, whether they wait until that subsequent further expansion is completed or whether they would exercise it at the end of this Phase 3.
Brian MacArthur: Great. Thanks. That's very helpful. Sorry to delve into it. It just is an important part of the growth thing, so that's very, very helpful.
Randy Smallwood: Yes. We're pretty excited about it, Brian. This is a great asset that we think has got all sorts of opportunity in front of it. So...
Operator: Your next question comes from the line of Michael Gray with Macquarie. Your line is open.
Michael Gray: Hey, good morning, Randy, Just a couple of questions on Rosemont, first of all, on the installment payments. It looked like in the MD&A, you have an option to pay at least the first $50 million in cash or shares. Did I get that right? Or could you clarify?
Randy Smallwood: Yes. We firmed up the agreement. And so one of the options that we stuck in there just to give us added flexibility is that we can make the payment in cash or shares. It's actually for both payments. They can be both made in cash or shares. That is the decision that right now I'd have to say -- I mean, it all depends on what we've got in front of us from a corporate-development perspective in reality. If we see some opportunities out there that look like we may need cash or to fund going forward, then we have that added flexibility. But I can assure you, it is not our intention -- in the current environment, it is not our intention to issue shares. Our preference would be to issue cash, but we just want to acquire some flexibility in this process.
Michael Gray: Thanks for clarifying. And then with Hudbay's approval of the mine plan of operations in Rosemont, at what point will you incorporate the asset in the five-year guidance? Will it be in connection with Hudbay being fully funded? Or is there another trigger?
Randy Smallwood: Well, I think it probably -- there is some time lines. And one of the advantages of the restructuring agreement is that we do have some delayed payments now if there's a delay. But the timing is triggered by us making our first payments into it. And so I would expect -- they're still working on some other structural and joint venture things with respect to Rosemont. And so Hudbay has got some work to do yet before we'd be making any payment on this. But once that payment is made, it will trigger a time line that -- as a commitment on their side, and so it would definitely fall into our guidance at that point.
Operator: [Operator instructions] Your next question comes from the line of Dan Rollins with RBC Capital Markets. Please go ahead.
Dan Rollins: Thanks very much. Just wondered if you could provide a little bit more color on the decision to put in the floor on the dividend of $0.09. And if we could see this sort of pushed out again into 2020 and '21 as a free cash flow build in the balance sheet strength and obviously acknowledging dependent on acquisitions. But interesting to see you put a floor on there with the upside linked to the metal prices.
Randy Smallwood: Yes. We just felt that it's sort of the next step. Our cash flows are strong. We've got a very strong organic growth profile coming down the pipe, and so we wanted to just provide some more surety toward the dividend itself and we thought the approach to take. We still like the concept of having it loosely tied to our operating cash flows. And obviously, if we see a dramatic increase in commodity prices or our cash flows or both over the next quarters -- it is a floor of $0.09. It still has the opportunity to climb up. But we just felt that over the course of the year, we've given some more surety toward being able to deliver this on a regular basis. If it does -- I mean, it will be reviewed every quarter, but our intent right now is to maintain a minimum of $0.09 dividend per share through the rest of this year. With respect to 2020 and 2021 and subsequent years, we're going to have a look at the financial situation at every year-end and make that determination. Can't commit one way or the other at all, there's so much that can change between now and then that it will be a function of many different factors in terms of that decision. But my hope is, is that we never have to drop it below this and that it would continue to grow as our company continues to grow.
Dan Rollins: I think that'd be an excellent way of gradually increasing it while keeping some stability. One housekeeping question for me. The taxes payable sitting on the balance sheet in current liabilities, when does that get paid out just so we all know when it hits the operating cash flow line?
Gary Brown: We would expect that to be paid -- and we're talking about $3 million to $4 million debt. So we'd expect that to get paid in the Q1, Q2 period as we finalize the reassessments for 2005 to '10.
Haytham Hodaly: Thanks for the question, Dan. What we're seeing now is a number of opportunities in the pipeline that fall, say, between $100 million and $300 million in value. These are primarily development-stage financing opportunities that would require very little upfront capital as any spending would be staged throughout the development time line, which is typically for a lot of these projects 12 to 36 months. I would hope to be successful on one or two of these in the next 12 to 18 months. And I think this staged payments will, as Gary mentioned, allow for a continued focus on repaying Wheaton's debt.
Operator: Your next question comes from the line of Trevor Turnbull with Scotiabank. Please go ahead.
Trevor Turnbull: I think you answered my question when you were talking to Brian, but just in case, with respect to the option on the Salobo III expansion that contemplates having a guaranteed kind of high-grade option where you would, I guess, have Vale stockpiling some of the lower-grade material, is it safe to say that the mine plan kind of as it exists today and the technical reports from the past is more of the low-grade option and what you're contemplating is upside if they do adopt the higher-grade guarantees?
Randy Smallwood: They have a number of options in front of them. So they have studied both the high-grade and the low-grade scenario, and they haven't made a decision. It's not even just one or the order. It's a multiple of scalable options. The biggest difference in this would be the amount -- the size of the mobile fleet that they would need. Obviously, if they were going to stockpile more low-grade material, it would require a bit of extra mining capacity in the pit. We don't see -- the pit itself is not production limited, so there's no issues on that front. And so it's really just a matter of them deciding how much capital they want to spend. It's our belief that the economics behind it would justify it, but there's other factors that come into play. But the economics would support focusing on the high grade and pushing low grade to the side. So they haven't committed. That's one of the reasons that we don't have it in our five-year plan is because they haven't committed to which mine plan they're going to follow. And they really don't have to commit to a mine plan until -- mobile fleet deliveries, that's the quickest part of any of the infrastructure that's required here. And so they probably won't be making a final decision on that front until 2021 or so. I wouldn't expect -- there's no need to -- the processing facility itself is still going to be consistent all the way through.
Trevor Turnbull: Yes. No, I understand they haven't made that decision. But given the fact that they would need to add to the mobile fleet, the implication would be they wouldn't be prepared to do that much kind of management of stockpiles at this stage. So whatever's been in the technical reports up to this point would be more of a less -- optimized scenario is what I'm getting at.
Randy Smallwood: Yes. Actually, you know what? You're right. They do have low-grade stockpiles that they've set aside. But it has been sort of a balance between -- look, I would say that right now, they've been sort of taking almost a middle-of-the-road path than anything else. They're not pursuing sort of the high grade. They're not also pursuing low grade. They're kind of in the middle of the road right now, the current mine plan.
Operator: Your next question comes from John Tumazos with John Tumazos Very Independent Research. Your line is open.
John Tumazos: Thank you. A couple of the last streaming deals have been about $250 million by Royal Gold for almost two million ounces of silver and Triple Flag paying $100 million for about 5,000 ounces of gold and half a million ounces of silver a year. How do those terms strike you? Is there more depths in the market for you to do more cobalt, palladium deals? And can we look forward to lithium, dysprosium, yttrium or other specialized deals?
Randy Smallwood: John, I'll let Haytham answer that one.
Haytham Hodaly: Thanks, John. Our focus continues to be on precious metals. We've always said gold and silver are our primary focus, although platinum and palladium are also metals we'll consider. When you talk about cobalt and other metals, we're not adverse to looking at other best-in-class assets, and that further contributes to the high-quality portfolio we have. But let me be clear, our model works best when you stream precious metals from a base metal asset because there's a valuation arbitrage opportunity that allows us to create value for both parties. So that is the type of opportunity where we focus the majority of our time.
John Tumazos: So what do you think of these deals, $250 million for two million ounces of silver, $100 million for 5,000 ounces of gold and half a million ounces of silver? Are those terms...
Haytham Hodaly: Well, I'd say it reflects the competitive environment out there, John. I'd say it reflects the competitive environment out there. I mean, right now, we see a lot of smaller projects. The smaller-scale projects and the smaller-scale companies are not getting the equity support, and so there's a healthy appetite. And so I just think it reflects that. When you look at some of the structure and some of the security, or lack thereof, on these projects, these aren't the type of assets that we're stretching for, that we're -- I mean, we look at everything because we want to get a good handle in terms of what's out there, what's available. And it's amazing how many times these things come back sometime in the future. And so we do look at everything, but I can tell you these most recent transactions weren't high-priority transactions or opportunities for us.
John Tumazos: So Franco does energy deals and Sandstorm or SCCO and Royal Gold have invested in some mine development projects or start-ups or working interest, do you see yourself venturing, tiptoeing into some of those things when the straight gold deal is too expensive?
Randy Smallwood: No. I mean, I'll reiterate Haytham's comments, our focus is precious metals. We do see opportunities. We don't need to do transactions. That's one of the key messages that I think that we need to put out here is that we have got such a strong organic growth profile in our own portfolio right now that we're happy to sit and wait and be patient. Deals the size of $100 million to $200 million, they're pretty -- that doesn't move the needle much for us anymore. We like those kind of assets just from a diversity perspective, but they just don't move the needle much for us. And so our focus is to wait for the better quality assets. We are focused on precious metals. We're comfortable in the development stage. In fact, I'd say this model was built on funding development where streaming originally came from in terms of that. And I'd say that we're entering that cycle again where most of the stuff that we are looking at is development type, where you're funding growth, you're funding expansions, you're funding acquisitions. That's all come into play. But you will not see us do oil and gas deals. You won't even see us focus on other commodities. As Haytham said, if we have an opportunity for a best-in-class on a commodity that we're excited about, we'll look at it, but that doesn't mean -- our focus is looking and, as the name implies, continuing to focus on making this company the best precious metals investment company out there.
Operator: Your next question comes from the line of Steven Butler with GMP Securities. Please go ahead.
Steven Butler: Good morning, Randy. It's still before noon here, guys. Salobo III, just to beat it down a little bit more, beat it up, the percentage change in grade, Randy, that could come from a high-grade scenario, could you give us a sense of that, either percent increase in reserve grade for 10 years or grade profile that otherwise would sit in the low grades? What's the change to delta and grade that you're talking about or thinking about?
Randy Smallwood: Well, here's what I can tell you is that it's a -- I don't want to give you the exact number just because of there's some disclosure issues on that front. But what I can tell you is that it's based on production grade, not reserve grades, production grades, what gets processed through the entire processing facility. So not just the expansion facility, not just the third line, but what is the average copper grade. And it is driven by copper grade, not gold grade, because we know there's a very strong correlation between copper and gold at this asset. And so the higher the copper grade, the higher the gold grade. So we decided to structure it such that it is related to maintaining a minimum copper grade for a 10-year period through the processing facilities. And that's -- the trigger is a commitment to do that, and then all sorts of -- then we ensure that they maintain that on a go-forward basis.
Steven Butler: Is that grade higher today or lower than today's copper grade, Randy?
Randy Smallwood: I hate to tell you, I don't know what today's copper grade is because we look at the gold right now. So I'd have to look at -- I can't answer that question. Sorry, Steve.
Steven Butler: That's fine. And then last one just for me, the ongoing improvements that you talked about or referencing, of course, First Majestic's efforts, but what are some of the continued improvement initiatives at San Dimas that you're expecting that might be delivered by First Majestic?
Randy Smallwood: Well, yes, I have to say the site management at First Majestic -- our own technical team just went down about four, maybe six weeks ago for a site visit. And I have to tell you, the improvement in site management, First Majestic has brought in the original site managers that was there in the early 2000, back when the asset was owned by Wheaton River. And so he's a manager that knows the asset very well and has outperformed there in the past. And I love the little note that he sent me about rebuilding San Dimas back to its former glory. And so we're excited about what we see down there. We see a real move, a real push on First Majestic side to support him as much as he can in terms of rebuilding that San Dimas operation. It is an incredible asset. The newly structured deal that we have there gives them full freedom for the entire property. And so we're chasing both the silver-rich veins and the gold-rich veins, and they get the benefits from both. And so it's -- we're really excited. I mean, we still don't have anything more detailed than a year old forecast from First Majestic. And so I hate to say it, in our five-year plan, we're still relying on some very old data from the previous operator. And I do think that there's a -- that also is another area of potential growth and potentially significant growth on our production -- on our organic production profile. I have to say our team came back extremely impressed with the improvements that have been made at San Dimas since First Majestic has taken over, and I think a lot of it has to do with their site manager down there. They've made a good decision in terms of who they've got in there rebuilding that asset.
Steven Butler: Okay. Thanks a lot, Randy. Thanks.
Randy Smallwood: Thank you. And I'd like to thank everyone for dialing in today. We believe Wheaton is the premier investment vehicle for precious metals investors worldwide for a number of different reasons. Firstly, by having low and predictable cost that results in not only some of the highest margins in the entire precious metals space, but also sector-leading operating cash flow. Secondly, through our steady organic growth profile over the next few years and a proven track record of accretive, quality acquisitions. Thirdly, by offering our shareholders exposure to some of the best mines in the world through our high-quality portfolio of long-life, low-cost assets, which I believe is unparalleled in the industry. And lastly, by being a leader among the precious metals streamers in supporting our partners and the communities in which we live and operate. We do look forward to speaking with you all again soon. Thank you.
Operator: This concludes the conference call for today. Thank you for participating. Please disconnect your lines.